Operator: Greetings and welcome to Skechers 2018 Earnings – Second Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. I would now like to turn the conference over to Skechers. Please go ahead.
Unidentified Company Representative: Thank you, everyone, for joining us on Skechers conference call today. I will now read the Safe Harbor statement. Certain statements contained herein including, without limitation, statements addressing the beliefs, plans, objectives, estimates or expectations of the company or future results or events may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 as amended. Such forward-looking statements involve known and unknown risks including, but not limited to, global, national and local economic, business and market conditions in general and specifically as they apply to the retail industry and the company. There can be no assurance that the actual future results, performance or achievements expressed or implied by such forward-looking statements will occur. Users of forward-looking statements are encouraged to review the company’s filings with the U.S. Securities and Exchange Commission, including the most recent annual report on Form 10-K, quarterly reports on Form 10-Q, current reports on Form 8-K and all other reports filed with the SEC as required by federal securities laws for a description of all other significant risk factors that may affect the company’s business, results of operations and financial conditions. With that, I’d like to turn the call over to Skechers’ Chief Operating Officer, David Weinberg; and Chief Financial Officer, John Vandemore. David?
David Weinberg: Good afternoon, and thank you for joining us today to review Skechers second quarter 2018 financial results. Joining me on the call is John Vandemore, Skechers’ Chief Financial Officer, who will discuss our financial results in detail. Second quarter sales increased 10.6% to $1.13 billion, a new second quarter sales record. The quarterly sales growth was the result of double-digit increases in our international wholesale company-owned global retail segments. As discussed last quarter, this growth came despite slight decreases in our domestic wholesale and international distributor channels. We believe these businesses will turn positive in the back-half of the year. The second quarter record net sales follows our first quarter achievement of the highest quarterly sales in the company’s history, which resulted in a new six-month record of $2.38 billion in sales. Second quarter highlights include a new second quarter sales record; record quarterly gross margins of 49.4%; a 24.9% sales increase in our international wholesale business, the result of continued strong growth in our subsidiary and joint venture countries; a 12.8% sales increase in our global company-owned retail stores with a comp store sales increase of 4.5% globally; international wholesale and retail representing 51.6% of our total sales; expanding our Skechers’ retail network to 2,715 stores worldwide, including the opening of 12 new company-owned stores and 107 third-party stores; resurgence of Skechers D’Lites in the United States and key markets around the world; elite golfer, Brooke Henderson, winning the LPGA LOTTE Championship in Skechers GO GOLF; and the repurchase of 510,000 shares at a cost of $15 million. Now turning to our business channels in detail. In line with our expectations, our domestic wholesale business decreased 7% for the second quarter and increased 1% for the first six months. Our business within our core accounts remain solid during the quarter. Our product strength in the United States came across multiple divisions with men’s and women’s sport, work and golf, as well as women’s sandals, all performing particularly well. The trend toward chunky outfit has been benefit to Skechers as we started this look with the energy in 1999 and then D’Lites in 2007. As an originator of this look, we are receiving a great deal of press coverage and capturing attention of a younger demographic. For the second quarter, we remain the number one men’s and women’s work, men’s and women’s casual lifestyle footwear brand, and the number one walking brand. To support our domestic business, we ran multiple media campaigns. For women, a Skechers D’Lites campaign with Camila Cabello, Skechers GOwalk Joy and sandals. For men, working casual slip-on sports starring Tony Romo, Relaxed Fit with David Ortiz, and Wide Fit footwear featuring Howie Long. And for kids, we ran commercials on children’s programming for Twinkle Toes and our lightweight sports footwear. Our golf business continues to grow. During the second quarter, Canadian golfer, Brooke Henderson, won the LPGA LOTTE Championship in Hawaii. And recently, golfer, Russell Knox, won the Irish Open, both our Skechers’ ambassadors and both competed in our GO GOLF footwear. Additionally, football legend, Tony Romo, has been competing in Skechers GO GOLF on the amateur and celebrity circuits and won two tournaments this month, the Racine Tri-Course Amateur Championship in Wisconsin and last weekend’s American Century Championships in California. While we will face some tough comparisons in the third quarter from last year’s growth, we believe our product and marketing are both on point. Based on our meetings with accounts and backlogs, we believe our core wholesale business remain strong and we will achieve positive results in the back-half of the year. International wholesale remains our single largest distribution channel, representing 41% of our total sales in the second quarter and 43.7% for the first six months. While international wholesale and retail combined represented 51.6% for the quarter and 52.8% for the first six months. Our total international wholesale business increased by 24.9% in the second quarter. The increase was the result of a 34% growth in our subsidiary and joint venture businesses, which was slightly offset by a 6% decrease in our distributor business. For the first six months, our international wholesale business increased by 22.9%, which was primarily the result of 31.8% growth in our subsidiary and joint venture businesses. As in the first quarter, the decrease in our distributor business was primarily the result of a slowdown with our largest international distributor in the Middle East. Further detailing our international growth. For the quarter, our wholly-owned international subsidiary business grew by 23.1% and our joint venture sales grew by 42.6%. All but one of our subsidiaries achieved growth in the quarter was Germany, Canada, UK and Spain generating the highest dollar gains, all of our subsidiaries achieved growth in the first six months. China remains a dominant force in our international business with approximately $5.6 million pairs shipped in the quarter, a retail base of approximately 775 Skechers freestanding stores, 2,350 points of sale, and a strong and growing e-commerce business with double-digit increases in the second quarter, due in part to the second largest online shopping day in China, June 18. In addition, India, South Korea and Singapore, all had considerable dollar and percentage sales gains in the second quarter. Despite the pressure in our international distributor business, we are experiencing robust growth with our partners in Russia, Scandinavia, Turkey, Indonesia and Taiwan, as well as numerous others. At quarter-end, there were 2,255 Skechers branded stores owned and operated by international distribution partners, joint ventures and a network of franchisees. In the second quarter, 107 third-party owned stores opened, including our first store in [indiscernible]; 41 in China; 23 in India; five each in Indonesia and Turkey; three in Italy; two each in the Czech Republic, Malaysia, South Korea and Taiwan; and one each in Australia, Algeria, Armenia, Cambodia, Denmark, England, Hungary, Iraq, Israel, Japan, Kuwait, Latvia, Morocco, Saudi Arabia, Singapore, South Africa, Spain, Switzerland and the UAE; 36 third-party stores closed in the second quarter. 11 third-party-owned Skechers stores have opened in the third quarter to date, including our first in Uzbekistan and one store closed. We expect another 300 to 325 third-party-owned Skechers branded stores to open in the remainder of 2018. We believe our international distributor business will be positive in the third quarter, resulting in low double-digit growth for our total international business, and we believe international remains the biggest growth opportunity for the company. In our company-owned global retail business, sales increased 12.8% in the second quarter, which was the result of a sales increase of 25.5% in our international stores and 7.2% in our domestic retail stores. This included worldwide positive comp store sales of 4.5% in the quarter, including 2.2% domestically and a 11.3% internationally. For the first six months, sales increased 15.5%, which was the result of an increase of 27.9% in our international stores and 9.9% in our domestic retail stores. At quarter-end, we had 668 company-owned Skechers retail stores, of which 209 were outside the United States. In the second quarter, we opened 12 stores, including six international locations and closed one domestic concept store. We also remodeled and expanded our California flagship stores in downtown Manhattan Beach and on the Third Street Promenade in Santa Monica. To date in the third quarter, we’ve opened one store in Canada and one in Peru, with another planned to open this weekend in Peru. For the remainder of 2018, we expect to open 30 to 35 company-owned Skechers stores with the majority in the fourth quarter and remodel, relocate or expand an additional 15 to 20 existing stores. Further in June, we introduced the Skechers D’Lites collaboration with one piece, the top selling anime series in our company-owned domestic retail stores. With three of the six styles available now, this series is already a success in the first month of its launch and we’re looking forward to launch of additional three colorways in September. Adding to our direct-to-consumer growth was our domestic e-commerce business, which grew by 10.8% for the quarter. We also have company-owned and operated e-commerce sites in Chile, Germany, the UK, Spain and Canada. Now, I’ll turn the call over to John to review our financials.
John Vandemore: Thank you, David. I’m pleased to share our second quarter results with you, which once again illustrate the growth potential of our strategy and brand. Second quarter sales increased 10.6% over the prior-year to $1.13 billion and represented a new second quarter sales record. This growth was due to increases in our international wholesale business of 24.9%, driven by a 23.1% increase in our subsidiary business, a 42.6% increase in our joint venture business, and an increase of 12.8% in our company-owned global retail stores. In particular, China contributed significantly to our growth in the quarter increasing 44.1%. This increase in sales was partially offset by an expected 7% decline in domestic wholesale and a 6.1% decline in our distributor sales, due in part to the previously discussed weakness in the Middle East. Excluding distributor sales, our international wholesale business was up 34% in the quarter. Gross profit was $561 million, up $72.6 million compared to the prior year and gross margin increased 180 basis points to 49.4%. This improvement was attributable to strength in our gross margin accretive international business due in part to favorable foreign exchange rates. Selling expenses increased $14.1 million to $114 million, or 10% of sales from 9.7% of sales in the prior year. The 30 basis point increase was due to higher international advertising expenses to support our overseas growth. Our domestic selling expenses were down slightly in the quarter. Total general and administrative expenses were up $65.6 million to $370.9 million, representing 32.7% of sales, compared to 29.8% of sales in the prior year period. This increase reflects our continued investment in our long-term global growth initiatives and included $29.4 million to support continued double-digit growth in China. It also included an increase of $11.7 million associated with 54 additional company-owned Skechers stores, of which 12 opened in the second quarter and $19.8 million related to corporate and domestic expenses, of which $7 million related to increased domestic warehouse and distribution costs and $6.2 million related to certain legal costs. Earnings from operations decreased 5.7% versus the prior year to $81.4 million, and as a percentage of sales represented a 120 basis point decline from 8.4% in the prior year to 7.2%. Our operating leverage was lower than prior year due to higher international advertising and distribution-related costs. Net income for the second quarter was $45.3 million, or $0.29 per diluted share on 157.1 million shares outstanding, compared to $59.5 million, or $0.38 per diluted share on 156.2 million shares outstanding in the prior year period. The earnings per share decline of 23.7% was due to higher operating expenses, including the legal costs previously mentioned, as well as adverse foreign exchange impacts, a higher effective tax rate and elevated minority interest. Our income tax rate for the quarter was 18.8%, compared with 16.1% in the prior year period. This rate reflects updates to our understanding of the impact of the recently enacted tax reform legislation. Given this, we now expect our effective tax rate for 2018 to be at the top of or slightly above our previously announced guidance range of 12% to 17%. And now turning to our balance sheet. At June 30, 2018, we had $887.7 million in cash, cash equivalents and short-term investments, which was an increase of $151.3 million, or 20.5% from December 31, 2017, and an increase of $136.2 million, or 18.1% over June 30, 2017. Our cash and investments represented approximately $5.65 per diluted share at June 30, 2018. During the second quarter, we acquired approximately 510,000 shares of our Class A common stock at a cost of $15 million. We remain confident in the strength of our balance sheet and our ability to fund our growth prospects while continuing to execute this repurchase program. Trade accounts receivable at quarter-end were $574.4 million, an increase of $54.9 million from June 30, 2017, and our DSOs were 37 days at June 30, 2018, compared to 36 days in the same period last year. Total inventory, including merchandise in transit increased 22.8% to $822.4 million, an increase of $152.7 million, which included an increase of $90 million in China alone. We believe that our inventory levels are in line with our growth expectations for our global business. Long-term debt was $70.2 million, compared to $68.3 million at June 30, 2017, and working capital was $1.6 billion versus $1.4 billion at June 30, 2017, primarily reflecting the aforementioned inventory and accounts receivable levels, as well as higher cash balances. Capital expenditures for the second quarter were approximately $25.3 million, of which $13 million was related to 12 new company-owned domestic and international store openings and eight store remodels, $4.2 million to support our international wholesale operations, and $6.3 million for the expansion of our domestic distribution center. For the remainder of 2018, we expect our ongoing capital expenditures to be approximately $40 million to $45 million, which includes an additional 30 to 35 company-owned retail store openings, 15 to 20 store remodel expansions or relocation, and office renovation. This estimate excludes capital expenditures related to our distribution centers worldwide, including China, as well as office expansion at our corporate headquarters, projects, which we expect to break ground on later this year. Now turning to our guidance. We currently expected third quarter sales will be in the range of $1.2 billion to $1.225 billion, and net earnings per diluted share will be in the range of $0.50 to $0.55. Underpinning this guidance is the belief that our domestic wholesale and international distributor businesses will return to growth in the second-half of 2018 and that our retail comps will remain positive. We also expect that our effective tax rate for the year will be at the top of or slightly higher than our previously announced guidance range of 12% to 17%. And due to continued double-digit growth in our joint venture businesses, the minority interest will continue to grow more than our total sales. Lastly, although we do not speculate on the impact of foreign currencies, we will note that the recent strengthening of the U.S. dollar could continue to translate into potential earnings headwind as we approach the back-half of 2018. I will now turn the call back to David for closing remarks.
David Weinberg: Thank you, John. The second quarter marked a new sales record for the period and when combined with our highest sales quarter ever in the first quarter, we achieved a new six-month record of $2.38 billion. The quarterly growth was the result of double-digit gains from our international wholesale and company-owned retail stores. Essential to our success is the strength of our brand, product and marketing. Our core product to Skechers Sport and Skechers Work continue to be in demand, as well as newer life like Skechers Go Golf and our heritage Skechers D’Lites collection. We will remain a leader in work, casual lifestyle and walking footwear and have gained shares in other categories. With Camila Cabello appearing in our marketing campaigns along with a team of great sports legends and a creative pool of additional marketing campaigns, we have both product and marketing rich. We are continuing to invest in our brands and our infrastructure. In the second-half of the year, we expect to break ground on our new corporate offices and for the new distribution center in China. With inventory levels in line, a strong cash position and healthy backlog, we are well-positioned for growth. We continue to believe that the global market poses our strongest growth potential. And with that, I would now like to turn the call over to the operator to begin the question-and-answer portion of the conference call.
Operator: At this time, we’ll be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Jeff Van Sinderen with B. Riley. Please proceed with your question.
Jeff Van Sinderen: Hi, everybody. So one of the things we’re looking at is that, it looks like you’re – you expect domestic wholesale to return to growth in second-half. Is there anymore color you can give us maybe on what the progression of the domestic wholesale order flow look like or shipments look like in Q2? Just wondering, kind of how it looked as you near the end of the quarter, there was a little bit of an uptick and product being pulled near the end of the quarter and then kind of how that’s progressing in July?
David Weinberg: Well, I think it came pretty much according to plan as we discussed on the last conference call. Basically, we didn’t anticipate any significant pull forwards and we certainly didn’t anticipate making up to $20 million that shifted in last year’s quarterly shift at the beginning. We shipped strong for June. It was still our biggest by far “month of the quarter” and should be one of our biggest for the year. So it continued – continue to be solid that’s both on a domestic and international basis. So there were no major shifts or changes, but very consistent.
Jeff Van Sinderen: Okay, fair enough. So as we’re thinking about back-to-school, I mean, should we think that your domestic back-to-school business will probably be up this year?
David Weinberg: As we said before, we anticipate our core business will be up.
Jeff Van Sinderen: Okay.
David Weinberg: It won’t be as strong as it might be perceived, because we still have, what we call, our non-core business, which is under pressure, and I don’t know that it will make it up quickly. But our core business will continue to grow, it will grow at a nice level and it should even pick up speed as we get into Q4 as we get some of this new product more tested and move in and fill these orders as we go along. So we anticipate an up – somewhat of an up in the third quarter and a more significant up in the fourth quarter.
Jeff Van Sinderen: Okay, fair enough. And then on the gross margin just as a follow-up, your gross margins were really strong. Just wondering how we should think about gross margins going forward?
John Vandemore: Yes, the gross margin improvement in Q2 was predominantly related to the shift to the international business. If you look at the composition of revenue this year versus last, there was a positive shift towards the margin accretive businesses. So that was about 90 to 100 basis points of the improvement. There was about an 80 basis point pickup from FX, which we don’t think is going to continue given the way currencies have trended recently. I think in Q3, we’re looking at slight improvements consistent with prior year at the moment. But that will ultimately depend on the mix of where the revenue comes from.
Jeff Van Sinderen: Got it. Okay, I’ll jump back in the queue. Thanks very much, and best of luck.
John Vandemore: Thanks, Jeff.
Operator: Our next question comes from the line of Jay Sole with UBS. Please proceed with your question.
Jay Sole: Great. Thank you. David, from the 2Q guidance you gave in April, just with regarding to SG&A, what change between then and the number that you published today?
David Weinberg: Well, I think, the biggest things that changed John mentioned in his prepared comments, we had a tax rate that was higher than we had anticipated by well over 200 basis points. We had foreign – FX considerations that costs us about $7 million, and we settled that lawsuit for $6 million that wasn’t really on target. So if we put that altogether, we’re pretty much on target to what we had said on the Q1 conference call, and we think we had a pretty good quarter. I think, business was a little tougher in the U.S. than we had thought, but our distributors came back and our international business came back. And if we had done a little better trying to recognize things like tax rate and currencies, we were probably been closer. But as you can imagine, the new tax rate take a lot of studying. They’ll be changing year-over-year, month-to-month as we learn more about and then more things that are issued. And foreign currency really did come at the back-end of the quarter. I mean, if you look the strength of a dollar that we’ve been talking about since wherever this – the trading partners have done or what we’re going to do with them has been pretty significant over the last week to last two months.
Jay Sole: Got it. And then besides…
John Vandemore: Yes, the most significant increases came in China and came in retail, right, that’s the most significant driver on the G&A side. And selling, as we mentioned, was driven by international markets, the domestics were actually lower. So the composition of the investment in G&A is aligned with where we’re growing the business.
Jay Sole: So maybe just a follow-up on that point. If you can sort of articulate maybe divide how much of the SG&A spending was done to drive future growth versus how much was done to drive growth in this quarter, where there was extra advertising due to clear inventory or to move some of that product in the U.S., maybe if you could talk to that point, that would be helpful?
John Vandemore: I don’t know that’s how we bifurcate the G&A spend, but I will just point out. Advertising – extra advertising in Q2 building the brand and that drives sales for Q3 and beyond. So I don’t know there’s a fine point we can put on. And I would say that, again, the investment was significantly concentrated in the markets in which we’re growing direct-to-consumer in China and within that the selling line in particular.
Jay Sole: Got it. And then maybe just, because obviously trade is such a big issue. Can you just talk about how much of your product is made in China right now and how much of the production is shipped to United States?
David Weinberg: Right now we make about 60% or 65% of our product still in China between the South and Northern China certainly. The United States I believe it’s about 40% of the production to the United States is outside of China.
Jay Sole: Okay, got it. And then maybe just if you can talk about within the domestic wholesale. As you kind of went through June and July, have you seen overall the sell-through and like department store channels or any particular channel like speed up or slowdown?
David Weinberg: No, it’s been pretty consistent. When we do channel checks for our core business in the United States, you’ll find that we’re performing quite well and our margins are holding up quite well. So I don’t perceive any inventory issues there. The only issue we have in the states is our non-core business, the lower price alternatives that we’ve made some products in the past that takes big hits from – so much from time to time. So that that’s changed and that environment has changed, and there has been a lot of closeout product in the marketplace that they take. So it’s curtailed some of the things we would make for them since we don’t have and haven’t had historically a significantly large closeout business. So I think, that’s just the way things are developing. We do anticipate that business can start to come back next year depending on what’s available in the marketplace, and we’re certainly looking forward to it. But our core business with the higher margins and where we sell the most should continue to grow. And I think, given this situation, we’ll certainly increase next year.
Jay Sole: Okay, got it. Thanks so much.
David Weinberg: Thanks, Jeff.
Operator: Our next question comes from the line of John Kernan of Cowen & Company. Please proceed with your question.
John Kernan: Hi, good afternoon, guys. Thanks for taking my question.
David Weinberg: Hi, John.
John Kernan: Just wanted to go back to inventory. John, I think you quantified how much of inventory growth every year was out of China. It’s still on a consolidated basis was pretty far above sales growth. So I’m just what’s giving you confident that the direction of gross margin can remain up? Do you feel like are you comfortable with where you are from a markdown perspective outside of China?
John Vandemore: Yes, absolutely. I mean, again, the composition of the inventory growth is pretty significantly concentrated, almost 80% of it is in either China, additional international markets that have pretty sizable growth expectations for the back-half of the year and then retail, which obviously fluctuates with the build-out of new stores. Our domestic number was really quite slight. It’s – ultimately, the growth rate in China, I mean, keep in mind, we’re building now for events like Singles Day in China, which are pretty sizable sell-through day in and of themselves. So we feel comfortable that the inventory is in line and there’s no significant inventory issue or markdown issue pending, but it start to grow really giving us comfort.
John Kernan: Okay. So you start to cycle some pretty significant growth in inventory from last year, you were up 33% in the third quarter last year and 25% in the fourth quarter. Is it safe to say that inventory could potentially be flattish year-over-year by the back-half of the year? It would ultimately mean a pretty significant cash flow. Can you give us some detail on where you think inventory might start to end – it seems to be at year-end?
David Weinberg: That’s a tough one. It’s a long one as well. We feel pretty good, but I don’t think we talk about the inventory builds year-over-year and I think, none of that has come back to impact margins overall and we’re not sitting on a significantly larger inventory in most places in the world. I think the answer to your question is, it would be dependent on our store growth rate, including our third-party store growth rate since we buy for them and keep it in China and predominately in India until it’s necessary to franchise level and how quickly we’re growing in some other marketplaces. I would tell you that I would anticipate that there will be no major change in the inventory in the United States year-over-year. But I do anticipate more significant growth in Europe, in China and even in South America, as we continue to open stores there. So – and is always a possibility as hard as we are some of the retail marketplaces and our stores are doing that will step up the pace and maybe increase inventory for a even more positive Q1. But it’s too early to say that. So inventory will continue to grow. I think, you have to understand also, the biggest piece of our growth was China, and China has been doing catch-up for inventory for quite awhile. They’ve been shaping inventory, you can see the size of their growth and we finally got the production standard. So we’re building now for a very big franchise business, and now we’re also building for a very big online business. So when you put the two of them together, you got some catch-up to do. I don’t anticipate China will grow at the same rate what this has all absorbed and we start to comp at next year.
John Kernan: So I guess, my final question is a bigger picture question. There has been well over $1 billion of total top line growth. The past couple of years, there has not been much growth in EBIT. So I’m just wondering at what point do you think you will trade top line growth for the ability to start growing top line in a more significant rate. Do you think if you pullback on G&A expenses, do you think the top line would decelerate significantly in line with that?
David Weinberg: We’ve just don’t necessarily think that way. We’re going to grow. We think that transition sacrificing top line growth for EBIT will happen when the marketplace tell us begin to close it to a saturation point. Right now, we are built for growth. We have the capital for growth and wouldn’t leave anything on the table. And we still like we said have significant areas where we’re under penetrated, such as South America, such as Japan, such as India, which is starting to grow very nicely and will contribute to EBITDA by the back-half of this year. So there’s a lot of positive things happened. I think, we’ll have better results from – if you look on an EBITDA basis as we get through the end of the year and into next year, because a lot of the heavy lifting will be done. We still have something to do with the distribution center in China, which will be a benefit – which will benefit the EBITDA aligned in China and make them more efficient. So we still got some ways to go. But we do think as we get through the end of this year into next year, we should start to leverage unless there’s some outgrowth averages growth in a couple of big territories that we have to invest in.
John Kernan: Okay. Thanks, guys.
David Weinberg: Thanks, John.
Operator: Our next question is from the line of Laurent Vasilescu with Macquarie Group. Please proceed with your question.
Laurent Vasilescu: Good afternoon. Thanks for taking my question. I think in the prepared remarks, it was noted that international on the back-half should grow low double digits. I was just curious to know how you should think – we should think about after the third quarter?
John Vandemore: Yes, I mean, I think that’s a low double-digit number for the third quarter is appropriate as well. I mean, just the quarters mix of a little bit. Obviously, China is significant in Q4, it’s hard to replicate in any other quarter. So that, that certainly drives Q4 international performance. But I’d say, for Q3 and Q4, we’re definitely looking low double digits.
Laurent Vasilescu: Okay. Thank you, John. And I think, last year, comps were running positive mid single digits still in July to date last year. And I think you had something with regards to preparing large stuff, comp is still running positive. Any color on how comps are running so far?
John Vandemore: Yes, I mean, July to date we have some shift in the promotional activity. So they’re relatively flattish at the moment on the whole. International domestic, it’s a little bit down. But again, that’s more than anything else owing the timing of some promotional activities that are going to occur now on the back-half of July or previously in prior years not in the first half of July.
Laurent Vasilescu: Okay, very helpful. And then very helpful for – to break out that China G&A of $29 million. It looks like it implies that that was the majority of the international G&A spend. Can you tell us what that number was for 1Q 2018, or just the anticipation of a run rate for the full-year for China G&A?
John Vandemore: Yes, I don’t know that we want to be there precise about it. But I’d say, this quarter, G&A growth in China was probably a little bit outsized what we normally expect. There was some temporal spend, particularly on the advertising side. The balance of it really was in the distribution side, and there’s a pretty fundamental and dynamic shift in the business for the e-comm side. And I think, we – David mentioned, as we look to bring online our own distribution center, we’ll be able to obviate some of those cost pressures. In the meantime, we’re working to make that as efficient as possible. So I’d say, at the outset, we normally would expect to be growing in line or slightly slower than the top line. This quarter, that wasn’t the case, but again, I guess some temporal elements. And admittedly, there are some things we need to work on the efficiency side and the distribution, in particular on e-com, but we’re putting time and attention to that. I think, the more significant number out of China though is plus 40% top line growth, which is again a fantastic outcome.
Laurent Vasilescu: Okay, very helpful. And then my last question on domestic G&A spend. It’s been running in the high-teen million rate for the last two quarters. I understood that there was some legal costs one-time, but then the domestic wholesale – warehouse expense of $7 million. How do we think about the domestic G&A overall for the next two quarters?
David Weinberg: Yes, I think, this quarter is a little bit more, much like Q1, a little bit better faster than we thought. We think that slows down in the back that doesn’t sound slow down since the zero, but it slows down in the back-half of the year. I mean, some of that also there will be the volume dependent, I think, what we saw in the quarter was a little bit of a hangover on increasing capacity that we talked about in Q1. There’s a little bit of a hangover into Q2 on that. But I still expect growth in the back-half just not as robust as we – as we’ve seen of late.
Laurent Vasilescu: Thank you. Best of luck.
David Weinberg: Thanks.
Operator: Our next question comes from the line of Sam Poser with Susquehanna. Please proceed with your question.
Sam Poser: Good afternoon. I’ve got a few. Thanks for taking my question. Dave, what were those legal costs first of all.
David Weinberg: We’re not going to be too precise about it. Let’s call it unusual and that’s what we call them out. It was a settlement and little of continuing litigation. So we deemed to – better to make a settlement and have a one-time fee rather than continue even though we had – thought we had good issues going forward than spend the money for litigation. you Litigation starts to get very expensive. As you get closer to the court date depending on a size and scope of it, you can run up somewhere between $700 million a month maybe up to even a $1.5 million depending on the complexity of it. So sometimes it’s just the better part of value to take settlement and that was a biggest piece and that was a one-time settlement.
Sam Poser: Thank you. And then the inventory levels now basically on a year-over-year basis like today, not at the end of the quarter, given that there were probably a bunch of orders to your domestic wholesale that got held. Could you give us some idea of what those – what that inventory looked like? What the total inventory is going to look like now as you start to ship back little?
David Weinberg: Well, obviously, we’ve made a dent in it, because not only do we ship here in the state with some of that stuff and we are having a very good shipping month. Certainly, we will show increases to last year, but it’s even more predominant in Europe, where July kicks off the whole selling season, there’s never a question of June. And we had a very good first two shipping weeks in June. So we’re pretty much where we anticipated being. China on the other hand doesn’t have a major shift piece, but they’re growing as they go through the franchise period. And July is the bigger shipping to the franchises than June. So we’ve made collateral if you call progress we like given we continue to buy and move the inventory. But the inventory is very solid. We have no delays on shipments, so all of those increases of shipment are certainly impactful.
Sam Poser: All right. And then you talked about low double-digit increase back – in the Q3 and the back-half of the year for international. Why are we seeing such a deceleration in the back-half of the year?
David Weinberg: Well, I think, we talked about it relative to Q3 in particular. Again, Q4, we highly influence one way or another on how single day performance. But I think we’re looking at low double-digit, that relatively can measure with where we’ve been.
Robert Greenberg:
. : So those are the two big growth initiatives. But I would think the biggest piece we think the distributors are coming back and will be positive in the third quarter. So that will be somewhat of enhancement, but very difficult to match anywhere near the comps we saw in Europe last year. If you remember back with a major growth piece for us getting a new season to a very large distribution network.
Sam Poser: Let me just follow-up on that, David. Could you give us rather than low – what – could you define what low double-digit mean, because we look – a low double-digit means 10% to 12%, or it is been in the 20s, because it’s still way far for triple-digit?
John Vandemore: Yes, I think, when we talk about low double digits, we’re looking at something that the low-end, high-teens at the high-end in the 20s. That’s again pretty consistent on a segment basis, where we – where we’ve been when you include the distributors of subsidiaries and joint ventures together.
Sam Poser: Gotcha. And then the long-term – your investments that you need to make in – to build out distribution center over time to do what you’re doing with your headquarters and states and anything else to sort of foundation for your longer-term plans. Could you give us some idea of sort of the magnitude of those investments? And how long you think they’re going to take though your set up, because I mean you did a good job in the past when you built – took a lot of build out and buy it but you did it and then it started to really kick in the same thing through in Europe. But now you’re talking about China and that’s expensive. And I mean – so there’ll be some of those distributions by the way. Could you give us some idea of sort of the magnitude of spend and then – and over what period of time that until you get actually you get your place where you foresee the efficiency?
David Weinberg: Okay. So that’s a twofold question. I think we mentioned that we have no final numbers. We’re still working on the automation for China. Although we’re ready to break ground and the building seems to set. I would guesstimate and I think the number we put on the street before is somewhere in the neighborhood of $150 million to spend on China and it’s probably over an 18-month to two-year period depending on construction and delivery of the items that are ordered. As far as the rest, the rest is obviously, which would be the United States, Europe. We’re building some – we have some third-party people we may convert in South America. We have Chile that we run now. We have our own distribution center in Japan. I would tell you that would depend on how quickly we grow and our unit volume distribution and how big a retail piece is for that as compared to wholesale. So if you were to ask me two or three years ago, I would have told you that there’s no way I would have to expand capacity in Moreno Valley yet, but our growth has been higher than anticipated, certainly our unit growth. Some of these comp stores so increases with domestic wholesale on real dollar terms. It’s got pricing choices, but consumers have come down some. So our growth in units is significantly – is higher than our growth in dollars. So we continue to get shelf space of store continue to do well. So it’s and how many stores we opened and how fast the unit growth is that we need to complete. The current plan calls for some expansion in our distribution center. In California, we will take probably a year a year-and-a-half to consider an expansion or a second facility that we can use Europe not quite as intense. We will increase some space, that should be completed and we rent it. So there’s no real closer than any additional rental. By the end of the year and we’re anticipating because of our growth in our franchise business and our wholesale business and our own retail business in Europe that we will add somewhere in the $20 million to $25 million range, maybe somewhat more in automation to smooth out that process as we move through the next year as well.
John Vandemore: And then just to top it off, the office and campus work that we’ve done here we’ve said previously is 125 to 150, and that’s again probably over 18 to 24 months.
Operator: Our next question comes from the line of Tom Nikic with Wells Fargo. Please proceed with your question.
Tom Nikic: Hey, everybody. So, David, in your prepared remarks you made a comment about having a tough compare in Q3. But when I look at your compare result is a lot more difficult in Q4, both in domestic wholesale and in international wholesale and on your retail comps. Can – you sort of mentioned China navigates through a tough compare in Q3. Can you sort of help us understand how you navigate through that in Q4 as well? And you also mentioned, U.S. wholesale being positive in the back-half. Does that mean both quarters Q3, Q4, or does it only mean one quarter? Any help there would be great? Thank you.
David Weinberg: Okay. We have more – I don’t know, which way to start somewhere or the other. We think, I think anyway, Q3 is a more difficult compare I just mentioned in Sam’s question that Europe was such a big up that you can’t get that. So that part when you’re talking about overall growth of the company is there. China also I don’t believe will grow at the same rate in Q3 and Q4, because the single-family anticipate that have even more almost the same increase in dollars in units over last year, so that’s a very positive. So we do believe that our business in Europe will be increasing for the first quarter and some of that shipments are anticipated to move in June, which makes that piece easier – Singles Day makes it easier. And domestically, as we mentioned, that the one fluctuation that moves it around more than our core business is our non-core business. And one of those big promotions is come up for the fourth quarter and we’ve already booked it. So that in and of itself will power through the domestic piece for Q4.
Tom Nikic: So does that mean Q4 should be positive in U.S. wholesale as well?
David Weinberg: Yes, it will overall, because our core business we anticipate will continue and this one customer or group will make up the shortfall from Q3 and Q4 as they run their loan receipts.
Robert Greenberg: Tom, I would – we generally think about Q3 as a slightly positive growth on the domestic side with what we see at the moment and then Q4 being much stronger for the reason David just mentioned. The shift that we were told in Q2, I mean, back to us in Q4.
Tom Nikic: All right. Thanks.
David Weinberg: Thanks.
Operator: Our next question comes from the line of Chris Svezia with Wedbush. Please proceed with your question.
Chris Svezia: Hey, thanks for taking my questions. I guess, first, just on the domestic comp for Q2, maybe shed a little color as to up – the 2.5% or what it was like. Is that Easter or just any color as to why it was this – or any color about how the quarter progressed on domestic comp would be helpful?
David Weinberg: Yes, I mean, April was weak in the retail comp environment. That was definitely an Easter comp issue. Each month thereafter got better, and so it really was a drag coming out of the first month of the year, which obviously is more sizable because of the holiday. So what you saw is April weaker than May, May weaker than June, and the net effect of that was it averaged out to a low single-digit comp.
Chris Svezia: Okay. And just on – I’m curious how you guys think about FX and in your international markets, whether your base I know in the UK, you took a pricing about a year ago. Just how are you thinking about in the face of what’s going on, because you’re just too early to think about that at this point?
John Vandemore: Yes, I mean, it’s a tough environment, in particular, when you have as much of volatility as we’ve seen literally over the last six months. Based on what we see today return from FX being what – Q1 was a significant tailwind to it becoming a slight headwind going into three and four. And if things don’t change, then we probably actually celebrate more significant headwind in Q1. It’s just – it’s hard to tell when you have in particular yuan and the euro behaving in a similar fashion. Those are the two biggest markets for us. If things continue – if the dollar continues to weaken, we may have to look at our pricing. But I think at this moment, we’re just being vigilant of where things stand, given the volatility. And I think in part to see what happens out of the trade tensions that are currently at least a significant factor in the foreign currency market that matter to us.
Chris Svezia: Okay. And then just on China and as you prepare for Singles Day and I know it’s a big e-commerce or direct-to-consumer and you’re shipping a lot of payers. How do you think about the efficiencies or productivity or the cost for that advantage if you go into the fourth quarter. And fourth quarter last year, there were some elevated expense related to that, because it’s moving our payers you have substantial growth. How are you preparing it for this year? So how should we think about that?
David Weinberg: I think this year is very close to last year. We had no significant automation and it’s one of those things that you have to do outside of a big automation base, because you can’t build a system that would peak on that day and be 50% off every other day of the year. So there’s always a plan. We have a better plan for the product mix and pre-organizing the product so it’s easier to move and ship. But I do think it’s going to put a strain now. It will increase the G&A certainly just given the order of magnitude of the number of single payers. But we do anticipate that this time there will be no deterioration in the EBIT line for that particular piece. I understand that’s a promotional day. So you get somewhat less margins and it does put somewhat pressure on the EBIT line. But I don’t think it’ll be significantly different than last year.
Chris Svezia: Okay. Last question I had is just as you think about the guidance you’ve given for Q3. And I know there’s some unusual items in Q2 that you called out. But in all fairness, selling expense, G&A expense was somewhat maybe higher than what you thought or at least what we had thought. As you think about Q3 and the guidance that you gave, how many variables or how did you think about our plan for potentially some of these higher costs either went to marketing or shipping costs or just unusual items that can crop up. So that’s even more protection on the bottom like guidance you’ve given?
John Vandemore: Yes, I mean, we wouldn’t normally and we won’t going forward forecast unusual items like this legal outcome, that’s just not – that’s just betting with [indiscernible] that’s not truthful. We have attempted to take into account what we’ve seen over the first couple of quarters of the year, in particular, some of the pressures on the distribution side of things. So we factor that in where we thought it was prudent. Obviously, we’re attempting to address any inefficiencies we have in the system on a regular basis. So that’s the focus of our attention in the middle of the P&L. I’d say at the moment, we’re not expecting any significant leverage year-over-year in Q3 and a little bit in Q4 in order to protect against either unwarranted or unanticipated increases. But there’s also a key component of this that’s going to be driven by the business. I don’t – we wouldn’t have turned away one of the – $1 of the e-comm sales we saw in China even if they are irritating our operating margin on an incremental basis, because that’s how you build the brand. We get people to get into the brand and try the brand. So as we always say, it’s – our primary goal here is to grow the business and grow the brand in particular in the international markets and the direct-to-consumer channels. So those opportunities continue to present themselves will make those investments. We think that they will definitely prove themselves wide at the end of the day and our leverage will come. But we’re not going to shy away from that incremental opportunity in the near-term.
Chris Svezia: Okay. Thank you very much gentlemen, and all the best in the third quarter.
John Vandemore: Thanks, Chris.
Operator: Our next question comes from the line of Jim Chartier with MCH. Please proceed with your question.
Jimmy Chartier: Yes, thanks for taking my question.
David Weinberg: Hi, Jim.
Jimmy Chartier: It’s helpful to kind of bridge the – some of the non unexpected items in second quarter, the legal expense and tax rate. In terms of the third quarter how much impact – is a higher tax rate going to have on EPS versus what you thought maybe three weeks or three months ago? And then FX, how much of an impact is that having on the third quarter EPS guidance versus where you thought it might have been three months ago?
John Vandemore: Yes, I won’t put in EPS terms, but suffice to say, our anticipation in the year to begin with was that we would probably be more at the midpoint of the range we gave on tax guidance of 12% to 15% or 12% to 17%. As we’ve come to understand key aspects of the new legislation is apparent that they are going to have a more significant impact. And that’s what’s pushing us to the higher-end or even slightly above that range. So currently we’re anticipating being at that top-end of the range or just a few basis points above that for Q3 and Q4. But again, our understanding is a lot of implications continue to mature. And as that happens, we’ll update the rate. Q2 obviously has a little bit of catch-up in there, because that’s coming in above that range. In terms of FX, the most pronounced impact that we know of today is in Q2. And if you look at it, if you look at the translational impact that we have, it’s actually a pretty significant swing year-over-year in Q2. At the moment, we don’t expect anything as pronounced in Q3, but it’s early and the markets have continued to only deteriorate relative to the U.S. dollar. So it’s hard to put a guess on and that’s why we don’t speculate. But what we did want to call attention to as you look at Q3 and 4, it’s definitely not going to be the headwind that has been for us. And depending on where rates end up, it could start to become more serious headwind as the year goes on and in particular, starting in Q1 2019.
Jimmy Chartier: Okay. And then on the domestic wholesale business last quarter you just talked about, I think, close to $20 million shifting between the quarters. So in third quarter, are you getting the benefit of $20 million shifted back, but then that’s offset by some loss sales to this non-core business. Is that the right way to think about them?
John Vandemore: Yes. I think, that’s a constructive way to think about it. I’d point out in line of that that you asked. If you take out that shift from last year, we’re flat – essentially flat to last year. David mentioned the OP price category giving us some fits in last quarter and a little bit more in Q3. But it definitely comes back to us in Q4. So that’s what we’re looking at the back-half and saying, obviously, domestic wholesale is going to be up and, of course, better than it has been year-to-date. Where that falls out in Q3 or Q4 might be a timing matter, but again, what we’re looking at is flat up slightly in Q3 with a more pronounced positive in Q4.
Jimmy Chartier: On the OP price, is that going to be at similar level for the year to what it was last year, or is it – it’s still going to be down?
John Vandemore: No, it’ll be below last year.
Jimmy Chartier: Okay, that’s all I have. Thanks for taking my questions.
John Vandemore: Thank you.
Operator: We have time for one last question. And that question comes from the line of Sam Poser with Susquehanna. Please proceed with your question.
Sam Poser: Well, I think, all my questions have been answered from the other questions. So thank you and good luck.
David Weinberg: Thanks, Sam.
Operator: Ladies and gentlemen, this concludes our conference. You may now disconnect your lines. Thank you for your participation.